Operator: Good day. My name is Charlie, and I'll be your conference operator today. At this time, I would like to welcome everyone to monday.com's Second Quarter Fiscal Year 2022 Earnings Conference Call.  I would now like to turn the call over to monday.com's Director of Investor Relations, Mr. Byron Stephen. Byron, please go ahead.
Byron Stephen: Good day, everyone. And thank you for joining us on today's conference call to discuss the financial results for monday.com's second quarter fiscal year 2022. Joining me today are Roy Mann and Eran Zinman, co-CEOs of monday.com and Eliran Glazer, monday.com's CFO. We released our results for the second quarter fiscal year 2022 earlier today. This quarter, we have introduced a new shareholder letter with our results commentary for the quarter. You can find the shareholder letter along with our investor presentation that accompanies our prepared remarks and a replay of today's webcast under the News and Events section of our IR Web site at ir.monday.com. Certain statements made on the call today will be forward-looking statements, which reflect management's best judgment based on currently available information. These statements involve risks and uncertainties that may cause actual results to differ from our expectations. Please refer to our earnings release for more information on the specific factors that could cause actual results to differ materially from our forward-looking statements. Additionally, non-GAAP financial measures will be discussed on the call. Reconciliations to the most directly comparable GAAP financial measures are available in the earnings release and the earnings presentation for today's call, which are posted on our Investor Relations Web site. With that, let me turn the call over to Roy.
Roy Mann: Thanks, Byron. Good day, everyone and welcome to our second quarter earnings call. It's been one year since our IPO and monday.com continues to grow. Our total revenue in Q2 was 123.7 million, up 75% from Q2 last year. We continue to move up market at a fast pace, growing our enterprise customer base to more than 1,000 customers this quarter, while maintaining our best in the industry net dollar retention rate. We continue to see strong growth across all customer segments, with enterprise customers leading the way. In the second quarter of fiscal 2022, we finished with 1,160 enterprise customers, 147% year-over-year increase. The second quarter saw significant improvements in our operating margin as we continue to make our business more efficient. Since the company was founded, we've generated approximately $4 in recurring revenue for every $1 we burn. The secret behind our efficiency is our bigbrain analytics platform. If you ever visited our offices, you've seen dashboards on nearly every wall displaying insights from bigbrains, our in-house business intelligence tool. Bigbrain collects over 200 million events a day, which informs each of our marketing campaigns and every interaction we have with our customers. By measuring everything, we empower employees to make efficient data driven decisions, optimizing for cash flow and maximizing efficiency. Another key part of our long term strategy is expansion of our product offerings. This past quarter, we announced our new Work OS product suite, and we've already seen impressive adoption. Within two months, we have had over 1,000 new paying accounts sign up with our new Work OS product. Our new end to end products are tailored by vertical and build on top of the Monday Work OS platform, including Monday projects, Monday Sales CRM, Monday Dev and Monday marketer. Customer can now switch between products within their Work OS platform so they can unify work across their organization. We're committed to being best-in-class in every one of our product categories, and we're confident that we can achieve that, thanks to the flexibility and unique infrastructure of our Work OS. These new products expand and elevate our go-to-market strategy and create additional entry points for new customers to our platform. Let me now turn it over to Eran to walk you through how customers are using monday.com to run their businesses better.
Eran Zinman : Thank you Roy. money.com is core to our customers business success. We're proud of the efficiency, the reaching with the Work OS platform. With a customer base of more than 152,000 in over 200 countries and 200 different industries, our customers span thousands of diverse use cases. We've pulled a handful of examples to give you a sense of that range. Renault Group recently signed up with mondey.com and now uses the Work OS platform to share and manage the communication activities of its brands around the world. They're using the platform to increase their communication functions collaboration and efficiency across 39 countries. As part of their goal to innovate the property industry, Savills turned to monday.com to execute impactful marketing campaigns across the global market [Indiscernible] limitation consultants are partnering with Savills to standardize their marketing processes, minimize wasted time and align faster decisions with their KPIs and OKRs. Lastly, in the total economic impact study, released in March, Forester studied Motorola's use of monday.com for its global internal creative agency. Their report show that Motorola had significant cost savings along with increases in overall productivity, producing an overall return on investment of 346%. Reading this report was really exciting. We built monday.com as a unifying workspace that increases operational efficiency and productivity, and it's amazing to see that in action. Our dedicated product alignment team works on meeting the complex needs of our increasing enterprise customer base. This past quarter, we prioritized making our platform even more resilient and reliable. With less platform friction and more customizable administrative permission, we improved our platform infrastructure and database, strengthened our board stability by 75%, improved our board loading time for over 15%, extending our multi region architecture and made our core building blocks well worthy, with hundreds of fixes and improvements across boards, dashboards and docks. In addition to those platform improvements, we prioritized the granular customizable security and administration features that our customers need, including editing permissions by sub item and item specific review information. These new features has helped us maintain our best in the industry retention rates, enabled higher ARR. Finally, every quarter, our customer success managers helped hundreds of customers reach their business goals and add measurable value to the company. For example, in Q2, one of our customer success managers worked with a larger consumer goods customer to maintain 100% of the monday.com licenses of remaining employees during layoff. Our efforts resulting in more than 65% jump in average monthly active paying users and high satisfaction with the platform. At the same time, we're improving the way we communicate with customers around the platform. We started rolling out support over chat, as well as an email to the CEO feature, which allows users to directly send us feedback, growth initiative have shown us where our platform can grow while increasing customer engagement. Let me now turn back over to Roy.
Roy Mann: Thank you, Eran. Our marketplace and partnership continues to be one of our larger growth drivers across our company, increasing our ability to serve any and all types of organizations. At the end of Q2, our partner ecosystem consists of 177 active channel partners, 470 new referral partners and over 150 marketplace apps with 30 monetized apps that show meaningful traction. Such strong product innovation, expanding ecosystem and consistent growth is only possible with our amazing team. We finished Q2 with nearly 1,500 monday.com employees around the world and even as we grow, we maintain our culture and employee engagement levels. We see that not just from our internal surveys but from outside the world as well, winning two major workplace awards this year with Fortune certifying Monday as a great place to work and Inc recognizing us as one of the best workplaces of 2022. With this success, we remain committed to [aid] nonprofit with digital transformation through our Digital Lift initiatives, including our commitment to donate 10% of our equity over time to foundations. During the past quarter, we launched a Digital Lift product and opened application for a year long grant up to $100,000. In parallel, our emergency response team partnered with organizations around the world to streamline their relief efforts. We leverage the monday.com platform to support humanitarian and disaster relief efforts of NGOs on the ground, including initiatives in Durban, Ukraine and more. All-in-all, it's been a strong impactful quarter and we're excited to see what the next quarter brings. With that, I'll turn it over to Eliran to cover the financial and guidance.
Eliran Glazer: Thank you, Roy. and thank you to everyone for joining our call. Today, I will review our second quarter results in detail and provide an updated guidance for the third quarter and full year 2022. We delivered another strong quarter of growth driven by customers increasingly adopting the broader monday.com Work OS and our product suites across the organization. Total revenue came in at one $123.7 million in the second quarter, up 75% from the second quarter a year ago. Additionally, we saw significant margin expansion during the quarter, stemming from our platform based land and expand strategy and operational efficiencies. We continue to see strong expansion within our existing customer base, which is reflected in our best in industry retention rates. Our net dollar retention rate remained stable across all categories in the second quarter. Net dollar retention rate for customers with more than 50,000 in ARR was over one 150%. Net dollar retention rate for customers with more than 10 users was over 135%, and our net dollar retention rate for all customers was above 125%. As a reminder, our net dollar retention rate is a trailing four quarters weighted average calculation. For the reminder of the financial metrics disclosed, unless otherwise noted, I will be referring to non-GAAP financial measures. We have provided a reconciliation of GAAP to non-GAAP financials in our earnings release. Second quarter gross margin was 89%. In the medium to long term, we continue to expect gross margin to remain in the high 80% range. Research and development expense was $24 million or 19% of revenue compared to 16% in the year ago quarter. We will continue to invest significantly in R&D throughout the remainder of the year as we build our product suite and scale our Work OS platform, both horizontally and vertically. Sales and marketing expense was $86.7 million or 70% of revenue compared to 79% in the year ago quarter. We anticipate sales and marketing expenses as a percentage of revenue to remain at the low to mid-70s throughout the remainder of the year. G&A expense was $14.6 million or 12% of revenue compared to 9% in the year ago quarter, reflecting increased cost since becoming a public company. Operating loss was [$16.4] million and operating margin was negative 12%. Net loss was $14.9 million. Total employee headcount was 1,489, an increase of 205 employees since Q1 2022. We hired across all major functions with over 60% of new hires in customer facing role. We anticipate that the levels of hiring will slow in the second half of fiscal 2022. We anticipate that the levels of hiring will slow in the second half of fiscal year 2022. Moving onto the balance sheet and cash flow. We ended the quarter with approximately $834.6 million in cash and cash equivalents. Net cash used in operating activities was $14.1 in the quarter. Deferred revenue increased to one $177.9 million at the end of the second quarter, up from $160 million at the end of the first quarter. Adjusted free cash flow was negative $19.2 million and included year end bonus payments of $6.6 million and an insurance payment of $7 million. Adjusted free cash flow margin, as defined as adjusted free cash flow as a percentage of revenue, was negative 15.6%. Adjusted free cash flow is defined as net cash from operating activities less cash used for property and equipment and capitalized software costs, excluding nonrecurring items. Now let's turn to our updated outlook for fiscal year 2022. For the third quarter of fiscal year 2022, we expect our revenue to be in the range of $130 million to $131 million, representing growth of 57% to 58% year-over-year. We expect the non-GAAP operating loss of $25 million to $24 million. For the full year 2022, we now expect revenue to be in the range of $498 million to $502 million, representing growth of 62% to 63% year-over-year. We expect the full year non-GAAP operating loss of $112 million to $108 million and a negative operating margin of 22% to 21%. With the recent strengthening of the US dollar, we now expect FX to negatively impact our full year revenue growth estimated by approximately 300 basis points. Given the concerns about the macro economy and the market, we have provided prudent yet achievable forward looking guidance. It should be noted that we did see some softness in demand in Europe at the end of Q2. And while one month is not enough data to extrapolate a longer trend, we are closely monitoring the demand environment across all areas of our business and we will be transparent with our investors about our expectations. We clearly have momentum across all of the areas critical for us to drive sustained levels of high revenue growth over the long term, including new customer acquisition, strong net dollar retention and an expanding product suite. Our strategic focus remains on balancing healthy investment in the business with improving efficiency and profitability. We'll continue to measure and monitor our returns and adjust investment levels as needed. I'll now turn it over to the operator for your questions.
Operator: [Operator Instructions] Now our first question comes from Kash Rangan of Goldman Sachs.
Kash Rangan: Reporting on the day like Monday wouldn't expect anything less from monday, so spectacular results. Congratulations to the entire team. I had two questions. One is with the rebranding around the Work OS and having new functionality focused on the developer market or CRM, et cetera. How are sales cycles changing for the company and who are the kind of targets you're able to reach out to, and what kind of budgets are you able to tap into? That's one thing and second is more of a financial question. You talked about operating efficiencies. And I'm curious how you do that while not sacrificing the growth potential of the company?
Eran Zinman: I'll [address] the first part of your question and then I'll hand it over to Eliran. So first of all, it's not a rebranding, we see this more of an evolution from where we were. So just as a reminder, originally, the platform up until this day is very dynamic and flexible, allows everybody to build anything on top of our Work OS. And then last quarter, we took it a step further and further packaged our product as a CRM product, as a tool for developers, a tool for marketers, and we saw great momentum in the last quarter. Just before that we saw more than 1,000 paying customers using those products in addition to using the work management platform, and this is again, part of our strategy. We offer the flexible platform. But in addition to that, we help customers onboard with those specific solutions. We see this create better dynamics in terms of our ability to sell to larger enterprises, our ability to land new customers, while also offering the flexibility which to grow into once they start using this initial product. So overall, this increases ability to go to market and also land larger customers and offer better solutions for our customers.
Eliran Glazer: With regard to your question, as a reminder, we always said that we invest based on the return that we see from our investments, and this is the playbook of moday. So when we think about investing into the future, we're focusing on making sure that we invest in product and engineering, and we grow the revenue generating sales outcomes as we did, in H1, we hired a lot of employees, added a lot of talent and we continue to invest also in online marketing. But the important thing is if it doesn't meet our guidance, internal expectations with regards to the return, we kind of take it in a modest way. So from our perspective, we continue to invest when we see the returns that we are used to and this is a playbook that we operate in [accordance].
Operator: Our next question comes from Ittai Kidron of Oppenheimer.
Ittai Kidron: Eliran, maybe you could just talk about the softness you've seen late in the quarter in Europe. How much of this you think is macro effects, a little bit more of a play here? And maybe you can give us some color on the month of July, has that weakness continued into July, or you've seen an improvement? Help us think about have you qualified what you've seen into the rest of the year guidance?
Eliran Glazer: So as we said, we did see some softness in Europe. Wwe think it's broad based. It's not specific countries but you see it across many countries, and also not specific to any segments. It started in June, we also see it in July, to be honest. And if you combine into this the FX impact, it's also definitely something that we should account for. So we said that in Q2, we estimate the FX impact approximately 2% negative on our growth rates and we estimate that by the end of the year, it's going to be around 300 basis points. We don't have a crystal ball. But looking at the macro economy and geopolitical terms, the Russia, Ukraine war, inflation and everything, we definitely monitor carefully the level of impact on our businesses and we adjust our assessments accordingly. So I would assume that we should take it into account even when we took it -- when we speak about guidance, probably by the end of the year.
Ittai Kidron: And just as a follow-up regarding your expectations of a slower hiring in the second half of the year. Is that just because you've kind of pretty much did what you needed to do on headcount or again, this is with the macro environment in mind trying to be a little bit more cautious and focused on margins?
Eran Zinman: So when you think about hiring, we did what we expected to do in H1. We hired the positions that we think we needed in order to scale the company for future growth. Now we are more focused in H2 on bringing additional headcount definitely not only related to the macro economy, but this is according to the plans that we had originally and also looking at the macro economy, but this is not the main driver. So we're going to slow down the hiring and focus on positions that will now help us to complete the supporting functions to scale the company.
Operator: Our next question comes from Arjun Bhatia of William Blair.
Arjun Bhatia: I want to touch on the enterprise traction. It seems like you are getting really good performance in that 50k cohort. It's kind of like I think this was the highest sequential adds that we have seen. Can you just talk about the dynamics that you are seeing there? Is that customers expanding seats, are those new customers landing at those high ARR metrics? And then I'm curious as customers do grow with you, is there -- are you starting to see more consolidation of spend on monday across several different software solutions perhaps and departments as well?
Eran Zinman: So definitely, we are very focused on our enterprise customer segment, keep seeing great growth there and we see the momentum increasing overtime. So definitely, we see fruits on that investment and we are committed to continue to invest going forward. I will say that to your question specifically, we do see larger initial deals as a trend, so definitely that's one trend. I would say that the additional new products that we launched last quarter definitely also make a big impact on the customers, our ability to sell more products overtime and expand their usage. So definitely another trend that we are seeing. Also in regard to your question about consolidation, I think that kind of in addition to what Eliran said with the macro economy, we see here a great opportunity for us as a company, because a lot of our customers realize that they can do much more with monday as a platform. They might have several use cases but now this is the potential of expanding monday throughout many more departments and perhaps consolidate a few different tools under monday. So definitely, we are starting to see this as a trend. So that's also very interesting, so I think we are kind of also pushing given the macroeconomy.
Arjun Bhatia: And just I think, Eliran, you just touched on this. But I wanted to maybe ask a little bit more pointedly, just when you think about the go to market strategy in the back half of the year, how much are you balancing between performance marketing versus the direct sales investments? Is it just that the direct sales investments are already made and you don't need to add more or are you pulling back on performance marketing even further in this environment? How do you view that in the back half?
Eliran Glazer: So as a reminder, when we spoke about -- in Q1, we said that we fund closing expenses in online marketing in Q1, which was an outlier. And then when we continue in Q2, going forward, it's going to be a more modest investment. We continue to invest in performance marketing. We believe this is an important go-to-market tool for us, driving and generating leads. In addition to that, we also continue to hire salespeople, but it's going to be in two kind of -- if you think about it, first, we are looking at the return on investment that we are doing on performance marketing and second, we are going to hire in a slower pace the additional salespeople and CPMs in the partner's team.
Operator: Our next question comes from Scott Berg of Needham.
Scott Berg: I guess, two questions here. First of all, I want to start on partner impact on the quarter where you discussed some of the momentum that you're having here. But if you look at kind of your new bookings in the quarter or whether it was directly through a partner, or just influenced from your ecosystem. How would you compare the traction in the quarter say versus a year ago?
Eran Zinman: In partners, hi Scott, it's Eran. So we continue to see strong momentum with our partners channel. We now have, with regards to global expansion, we are covering new markets where we don't have reps directly. As of today, we have more than 177 active channel partners with 26 channel partners added on Q2. And we have, outside of monday, additional 470 new referral partners on Q2. So overall, we see momentum. Obviously, with the current situation in Europe, potentially, there might be some slowdown in the future, but this is something that we account for and measuring or looking at on a constant basis.
Scott Berg: And then from a follow-up question perspective, and other was question that was already asked, I think Kash asked it on the new Work OS launches recently, the new functionality there. But how should we think about the impact on that? And on your bookings going forward, is that more to help lands with new customers, or does it help expand with your existing customers better?
Roy Mann: So that move with introducing new products was both of the things you said. One, it allows us to open up new markets and have other customers consider monday on a different approach and gain more market share and more quickly. And on the other hand and especially in these times, it helps customers expand into new use cases, adding more departments, adding more use cases and deepening their usage of monday even within existing departments. So it plays on both ends and that's how we see it.
Operator: Our next question comes from Pinjalim Bora of JP Morgan.
Pinjalim Bora: I wanted to ask him on retention, I know you don’t give the [fiddle] against renewal, it's been pretty stable over a certain amount. But is there a way to understand qualitatively the directionality of that metric, and how has gross dollar retention been trending in the business?
Eliran Glazer: Pinjalim, it's Eliran, and congratulation for the first time you're covering us. So good question on retention. So when we speak about retention, we mentioned that we believe we are now at a stage where it's stabilized. So we also spoke about ranges. When we are now with all customers above 125% and when we think about the range probably the range that we expect is between 120 to 125. If we think about 10 plus users is 135 to 140. And when we think about enterprise customers of 50k, it's around 145 to 150 and above. So potentially this is kind of the ranges that we believe that are going to be. With regards to gross retention, we look at gross retention, obviously, it's getting better. The fact that we're actually getting more momentum with customers with 10 plus users and enterprise accounts also improving our gross retention, we usually don't disclose this number but this is getting better as we continue to move up market.
Pinjalim Bora: One follow-up for you, Eliran. Obviously, you said you're seeing some softness in Europe, you said it continues into July. I see the upside to the revenue guidance is a little bit timid versus prior years or prior quarters. Is there a pause -- is it possible to kind of estimate what kind of macro impact are you modeling at this point and what other assumptions are you making into the guidance?
Eliran Glazer: So naturally, when we look at guidance, we take into account all of the number of considerations inclusive, of course, the geopolitical situation, as well as the FX impact and other macro economy environment that is out there. So this is part of the way we measure, this is part of the way we do our projection, so we take it into account altogether.
Operator: Our next question comes from Brent Bracelin of Piper Sandler.
Brent Bracelin: I wanted to go back around some of the momentum you're seeing here with the enterprise customers. Your vendor consolidation is a narrative, we're starting to hear a little bit more about, you've obviously came out with a new Work OS platform that expands the reach into CRM, dev marketing. Are you seeing that play out and drive some of that momentum record number of enterprise customers this quarter or not? Is that a narrative you're going to lean in more on? Just love to get your views around the opportunity you see with kind of your low cost platform, given vendor consolidation as a narrative, we're starting to hear a lot more in the enterprise space?
Eran Zinman: So I mean, definitely, we see this as a great growth driver. I don't think we're going to see like immediate impact in terms of our already great momentum in the enterprise customers, it might take some more time to kind of have another growth on top of the already existing growth that we have. But definitely in terms of consolidation, this is something that's really helpful. So the timing was really right considering what we've seen in the market. And if you think about it, monday is literally one of the best platforms to do consolidation on, because from day one, monday was very flexible, very generic, allowed -- and customers already use it for many use cases. So already customers, even before everything that happened now in the market, have used monday for a variety of use cases, some companies ran all the departments and use cases on top of our platform. So I think we're in a great position as a company to offer that consoldiation, it happened with customers in the past, and definitely we’ve seen that conversation right now. And we were pushing that through our customer success and sales team and hearing great feedback from customers that going through this process. So definitely something with a big upside that we have in the company and we'll continue to offer that to our customers as we go forward.
Brent Bracelin: And then just Eliran, as we just think about maybe the path to positive free cash flow here. You have certainly a very strong balance sheet of $800 million in cash, you only burned $14 million. But how much of that cash position do you think you are going to need to consume before you kind of get to positive free cash flow?
Eliran Glazer: So with regards to free cash flow, maybe to start and say that we expect margins in H2 to improve as part of the business growth. I don't [know] to tell you the exact number of how much we are going to consume. But I think if we continue to deliver the growth and improved margins as we see now, so potentially with regards to free cash flow, as we said in the past, it's going to be low double digits free cash flow as a percentage of revenue by the end of the year. And I would assume that somewhere next year in H2, we are going to see a shift towards breakeven or some free cash flow positive. So this is kind of the plan. I mean, as you think about the ranges we are currently consuming, I expect it's not going to be very meaningful from our total cash.
Operator: Our next question comes from Andrew DeGasperi of Berenberg.
Andrew DeGasperi: I know this has been asked several times on this call, but in terms of the annual guidance. What I just want to make clear is, you flagged the weakness in Europe and you said that you're accounting for that. But are you also accounting for any additional potential weakness in other regions or end markets as part of the guide you have for the year?
Eliran Glazer: So when we look at the guidance, we examine wide range of potential outcomes and set our guidance to the level that we feel confident that we will be able to meet and exceed. And certainly, the wide range of potential outcomes include the macroeconomic environment that could be worse, and potentially the geopolitical situation can be longer than expected. So we try or we make sure we take it into account account to a certain extent. We don't want to be completely conservative or pessimistic so we take all of this into account when we do the projections.
Andrew DeGasperi: And then just one on your pricing strategy. I know you haven't raised prices since 2019. Just curious to know given the inflationary and wage pressures a lot of companies are facing. Are you thinking or changing that, or are you taking a closer look at it?
Eran Zinman: So we haven't made any significant changes to our pricing structure. If anything, we always try to make it easier and simple for our customers. I would say, as we mentioned, we have a big upside with our new Work OS products that offer us the ability to charge a premium over our work management platform, and we'll give this value to our customers. So definitely this is a big upside that we have. Also in terms pricing and engagement and usage, we also see this as a potential to increase the number of seats within accounts. So that's the big offset that we have in terms of pricing. But in regards to our kind of basic pricing model, we don't expect to see any kind of changes right now.
Roy Mann: I would add that given our motion to enterprise, we see a lot more -- the percentage of seats, which are enterprise within our revenue is growing. So it is not a price increase but it is like a much more significant portion.
Operator: Our next question comes from David Hynes with Canaccord.
David Hynes: So R&D spend ticked up a little bit, you're clearly investing in product. I'm curious, what do you see as the more significant opportunity, is it horizontal expansion of Work OS or vertical expansion?
Roy Mann: So we actually see both like, the reason we launched the product is because we saw of our past horizontal moves what customers actually did with us, we took that and launched the product. So we can go deeper inside each one and be best-in-class within every vertical. What happens outside this products is that customers onboard to the Work OS and still use us for many more use cases, which we in the future will probably turned into products as well. So all these products move was actually to get deeper into areas.
David Hynes: And then a follow up for Eliran. Just the softness you're seeing versus your expectations. Is that showing up more in top of funnel activity or expansion momentum?
Eliran Glazer: I think it's both. On one hand when you think about expansion, so the conversations are different. If you think about companies, now the sales cycles are taking longer, companies are taking -- some of the companies out there are making decision with regards to the level of spend, with regard to the level of expansion. This is on the extension side. On the top of funnel when you get into new audiences, definitely the spend or the online spend that companies are doing is different. Therefore, there is, I believe, some slowdown in this -- in the environment as part of the macro economy challenges.
Operator: Our next question comes from Derrick Wood of Cowen and Co.
Unidentified Analyst: It's Andrew on for Derrick, nice quarter. The Renault Group was an impressive win, they have 170,000 employees. Was this a displacement or greenfield, and can you give us any color and how many seats this deployment is? And then to reach like close to 50k seat levels. What would need to improve on the product to get to those levels?
Eran Zinman: Can you just repeat the first part of the question, you were breaking up a little bit, the first part…
Unidentified Analyst: The Renault Group was impressive. They have 170,000 employees, just trying to get a feel for the size of this by seats and whether this was displacement or greenfield?
Eran Zinman: So it's a very significant deployment. We didn't disclose the amount of seats, but it's a very significant deployment. I would say a few hundreds, more to the kind of top part. But definitely this is an account that we pray adversity to call in. And we'll continue to expand our footprint within this account for the reason we're so excited also to upsell opportunity that we have with that customer and the ability to expand to more departments over time. And this is just one use case out of many that we saw this quarter of larger enterprises that adopt monday on a big scale and continue to scale over time.
Roy Mann: And the second part of your question…
Unidentified Analyst: Just to get to the higher seat level numbers that like to get to 50k plus seats, what would need to improve on the product side to get there?
Roy Mann: So I don't think it's much of things that need to be improved with the product, although, we keep investing more and more in terms of product features that allow enterprise companies to scale. First of all, it's the process. Companies go and scale over time gradually. So we definitely see this as a process. Our future enterprise customers are now growing and this is probably the reason why we see so much momentum in that group. But our sweet spot is still under 10,000, we continue to invest and raise the bar every year. And we'll continue as a company to invest and allow larger enterprise to use monday, both from a security perspective, governance and also in terms of features. So we heavily investing into that part of the business.
Unidentified Analyst: And then Eliran, on the billings number. Was there anything -- the upside was a little softer. Was there anything invoicing, flexibility wise, to customers that impacted this and is this expected to persist in the second half?
Eliran Glazer: So billings tend to be a bit lumpy, and we do not measure the business or manage the business to billing. We look at the net dollar retention rate, revenue growth and customer growth. If you think about revenue growth on a sequential basis, we grew 14% quarter by quarter and 75% year-over-year. So this is the measures that or the metrics that we use to look when we look at the business, as well as comparison are more difficult this quarter when we are getting bigger on the numbers.
Operator: Our next question comes from Brent Thill of Jefferies.
Brent Thill: I'm curious, if you could update us on your quota carrying sales rep hiring plan for the year, and if you’ve changed your plan relative to kind of what you're seeing. Can you just give us any color and what you're expecting this year?
Eliran Glazer: So with regards to quota carrying, we [really] change the plan, numbers continue to grow, this is another area together with R&D that we invest. We continue to invest even with the current environment. So the plans are -- remained as we did -- when we did the plan for the year.
Brent Thill: And just real quick what you're embedding in your overall guidance, are you seeing a flat environment, an improving environment or slightly worsening environment? How would you characterize your guidance relative to the back half in your plan?
Eliran Glazer: So as I mentioned earlier in most my replies, we do account for the macro economy environment and the geopolitical challenges to continue by the end of the year. Again, I don't have a crystal ball and I don't have better expectations than anyone else. We're trying to be a bit cautious, remaining optimistic with regards to next year. But by the end of this year, we think it's going to be the same environment that we see today.
Operator: [Operator Instructions] Our next question comes from Robert Simmons of D.A. Davidson.
Robert Simmons: You have 30 [Technical Difficulty] so far. Is there any cadence we can expect to the number of assets that will become monetized over the next quarters or years? And then are you earning revenue on those that are currently monetized? And if not, what's [Technical Difficulty] for doing so?
Eran Zinman: So definitely, we have very good momentum in our marketplace. We continue to invest there and working with other third-party developers and companies that to help them kind of develop apps on top of our marketplace. We did launch our payment service in the marketplace two quarters ago and we see great momentum. We see app developers moving from independent payments to use our payment system, and also new developers that joined the marketplace using our payment system. It's still not significant, I would say, compared to our total revenue, but it's growing very nicely. So definitely, we are keeping -- tracking that. And for us, as we mentioned previously, it's a very strategic part of our product and we see this as our ability to expand our use cases and offer long tail solutions to our customers. So definitely a lot of investments in terms of R&D and our focus over in the marketplace. So we are very happy with the momentum.
Operator: At this time, we currently have no further questions. And therefore, this concludes today's call. Thank you for joining. You may now disconnect your lines.